Operator: Good day, and welcome to the Tapestry Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to the Global Head of Investor Relations, Christina Colone.
Christina Colone: Good morning. Thank you for joining us. With me today to discuss our fourth quarter and year-end results as well as our strategies and outlook are Joanne Crevoiserat, Tapestry's Chief Executive Officer, and Scott Roe, Tapestry's Chief Financial Officer and Chief Operating Officer. Before we begin, we must point out that this conference call will involve certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. This includes projections for our business in the current or future quarters or fiscal years. Forward-looking statements are not guarantees and our actual results may differ materially from those expressed or implied in the forward-looking statements. Please refer to our annual report on Form 10-K, the press release we issued this morning and our other filings with the Securities and Exchange Commission for a complete list of risks and other important factors that could impact our future results and performance. Non-GAAP financial measures are included in our comments today and in our presentation slides. For a full reconciliation to corresponding GAAP financial information, please visit our website, www.tapestry.com/investors, and then view the earnings release and the presentation posted today. Now, let me outline the speakers and topics for this conference call. Joanne will begin with highlights for Tapestry and our brands. Scott will continue with our financial results, capital allocation priorities and our outlook going forward. Following that, we will hold a question-and-answer session, where we will be joined by Todd Kahn, CEO and Brand President of Coach. After Q&A, Joanne will conclude with brief closing remarks. I'd now like to turn it over to Joanne Crevoiserat, Tapestry's CEO.
Joanne Crevoiserat: Good morning. Thank you, Christina, and welcome, everyone. As noted in our press release, our fourth quarter results exceeded expectations, capping a successful year. This is a testament to our passionate global teams whose creativity and exceptional execution continue to fuel our brands and business. They are navigating the current environment with focus and agility, while meaningfully advancing our long-term growth initiatives. Touching on the highlights of the fiscal year. First, we delivered total revenue growth of 1% on a constant currency basis, reflecting the benefits of our globally diversified business model. These top-line results were led by International growth of 6% at constant currency, with gains across key regions, including increases of 14% in Europe, 9% in Other Asia and 5% in Japan, which together represent nearly 20% of Tapestry sales with additional runway for growth. In Greater China, sales rose 3% for the year, as anticipated, which included declines in the second half as we anniversaried last year's strong growth of over 30%. Although the recovery in China has been more gradual than what we originally expected entering fiscal year '24, we continued to invest in our brands, teams and platforms to support our long-term strategic growth agenda in the region and with this important consumer cohort. And in North America, revenue declined 1% compared to last year, while profit rose, driven by gross and operating margin expansion. Second, we remained focused on building new and lasting relationships with consumers by cultivating emotional connections with our brands. During the year, we acquired over 6.5 million new customers in North America alone, of which over half were Gen Z and Millennials, consistent with our strategy to recruit younger consumers to our brands. And we continue to see new customers transact at higher AUR than the balance of our customer base. At the same time, we improved lapsed customer reactivation in North America, which highlights our ability to successfully engage our existing customer base as we drive new customer recruitment. Third, we delivered compelling omnichannel experiences, meeting and delighting our customers wherever they choose to shop. To this end, our global brick and mortar sales rose for the year on a constant currency basis. Importantly, this growth was driven by an increase in productivity across a fleet, which is highly profitable. In addition, we maintained our strong digital positioning with sales more than 3 times pre-pandemic levels, representing nearly 30% of revenue at accretive margins. Our digital business is powered by Tapestry's leading capabilities, which have enabled us to enhance the consumer experience across their purchase journey. Fourth, we fueled fashion innovation and product excellence as we remain focused on bringing the creativity, quality and compelling value required to win with consumers. Nowhere was this more evident than at Coach, where we delivered record annual revenue, including growth in handbags with AUR gains, underscoring the strength of our brand and product offering. Our success is also reflected in our strong gross margin delivery, as we achieved our highest annual gross margin in over 15 years. Overall, we generated record fiscal year earnings per share, which outperformed our expectations, growing at a double-digit pace compared to the prior year, while making strategic investments in our brands and business. Moving forward from this solid foundation, our organization is embracing even greater ambition for the future, reinforcing a culture of innovation and accountability. We are taking action to accelerate growth at Kate Spade and Stuart Weitzman, while building on the momentum of Coach, positioning us for long-term profitable growth. To this end, we've made two key changes to our executive leadership team. Sandeep Seth, CMO of Coach, has expanded his role to include a newly created position of Chief Growth Officer for Tapestry. Since joining Coach in 2021, he has been instrumental in working alongside Todd Kahn and Stuart Vevers in driving the brand's growth and evolution, including the successful launch of the expressive luxury repositioning. Sandeep will partner with me and our executive leadership team to strengthen the focus on growth across our portfolio, bringing deeper consumer insights into our strategies and building distinctive brand worlds. And earlier this month, we announced the appointment of Eva Erdmann as CEO and Brand President, Kate Spade, effective in October. Eva is a proven brand builder and transformative leader, and I look forward to welcoming her to the organization. Before turning to a discussion of our results in more detail, I'd like to address the pending acquisition of Capri. While we are confident that this combination remains an exceptional strategic fit, there is significant work to do to bring innovation to their brands and reinvigorate their business amid their disappointing decline in standalone results. We believe we're well positioned to execute our integration plans and growth strategies, and that the path to value creation is clear and compelling under our ownership, bringing meaningful benefits to our customers, employees, partners and shareholders around the world. With that, I'll now touch on results and go-forward strategies across each of our brands, starting with Coach. Coach continues to build strength on strength, highlighting the power of expressive luxury. Throughout the year, our teams fueled brand heat and desire, notably with younger consumers, enabling Coach to achieve record annual revenue, which surpassed $5 billion at exceptional margins with significant runway for growth ahead. Now touching on some details of the fourth quarter. With consumer insights at the heart of our work, our talented design and creative teams under Stuart Vevers' leadership once again delivered a range of innovative product offerings that distinguish the brand. To this end, we continued to drive growth in our handbag offering, led by our iconic platforms. The Tabby family delivered another quarter ahead of our expectations, over-indexing with new and younger consumers and nearly doubling versus last year. Quilted Tabby continued to outperform and we further expanded the family with the introduction of the Tabby Backpack. During the quarter, the success of Tabby earned it a coveted spot on the list, ranking third among the 10 hottest products globally and helping to secure Coach's position on the list index for hottest brands, where it was recognized for its unique ability to offer luxury experiences that are inclusive and attainable. Further, given the power and halo of Tabby and consistent with our goal of meeting consumers where they are, we broke the distribution paradigm through a test that brought Tabby 26 to over 100 outlet locations globally, selling at full price, and the test is exceeding our plan. Importantly, the learnings from this test are informing our broader strategies in fiscal '25 and beyond as we explore additional opportunities to scale innovative products and marketing campaigns across channels. Beyond Tabby, our heritage Willow and Rogue families remain foundational volume drivers. We also launched newness with the Juliet shoulder bag, while our viral sensation, The Coach Original Swing Zip continued to resonate strongly with Gen Z customers. Overall, Coach's growth in handbags and accessories outpaced the industry for the year, which included AUR gains globally and in North America, and we see further runway longer term given our innovation pipeline and brand heat. Touching on AUR details for the fourth quarter. Coach's global handbag AUR was even with prior year at constant currency impacted by geographic mix headwinds, while North America handbag AUR growth remained positive. Next, we continued to build out the lifestyle assortment, expanding the brand's reach with consumers with the goal of powering customer recruitment, purchase frequency and ultimately lifetime value. Footwear drove outsized gains driven by the continued success of the low line sneaker as well as the recently launched Brynn Sandal. In ready to wear, we achieved growth with traction in leather jackets, amplifying Coach's positioning as America's original house of leather. And in men's, we animated the League family with the flap, backpack and messenger styles leading with consumers. Turning to marketing, we remained focused on storytelling under the brand's purpose, Courage to be Real. As part of the strategy, this spring we launched the brand's Find Your Courage campaign, featuring Coach ambassadors that inspire consumers to embrace self-expression. By extending our top of funnel activations, we're creating continuous and meaningful conversations with consumers, building emotional connections with the brand and driving cultural relevance. Importantly, as a result of these efforts, we've seen significant gains in unaided awareness, consideration and purchase intent among Gen Z consumers, reinforcing that our strategies are working. Further, we launched unique and immersive retail experiences across the globe, highlighting our commitment to consumer engagement through experiences beyond product. We're also connecting with younger consumers through immersive platforms and virtual experiences in the world of gaming, with a recently debuted collaboration with Roblox and Zepeto in keeping with our goal of innovating in new spaces for the brand. Overall, our holistic brand building activities helped to drive increases in new customer acquisition as we welcomed approximately 4.2 million new customers to Coach this year in North America. This included over 1 million new customers in the fourth quarter, of which approximately 60% were Gen Z and Millennials. At the same time, we've seen significant gains in Google search trends in the US, a clear signal of the brand's momentum. As we enter a new fiscal year, our priorities are clear. We will continue to deepen our connection with consumers, grow leather goods, fuel gains across lifestyle with a focus on footwear, lead with purpose-led storytelling through high impact and sustained brand building campaigns, and expand retail experiences to bring expressive luxury to life through engaging the five senses. These pillars have driven our success and are the right strategies to take us into the future. In closing, Coach is an iconic brand driving modern relevance with brand momentum that is translating into strong financial results. Building on our record year, we are confident in the bright future ahead and our ability to drive healthy sustainable growth as we continue to bring this storied brand to a new generation of consumers. Now moving to Kate Spade. During the quarter, we continued to advance our strategies and reinforce our foundation for the future. While top-line results were challenged, profit once again rose significantly versus prior year, led by continued gross margin expansion and disciplined expense management. Moving forward, we are laser-focused on realizing the full potential of the brand. Importantly, as mentioned, I look forward to welcoming Eva to the organization this fall. She brings a deep understanding of the rapidly evolving consumer landscape and a demonstrated ability to cultivate desire, cultural relevance and passionate communities for distinctive luxury brands. I'm confident that Eva, working alongside the team in place, will enhance our execution to drive sustainable profitable growth. Now touching on our results of the quarter in more detail. First, we remain focused on strengthening the brand's core handbag offering through innovative product and distinctive brand codes. During the quarter, we expanded the Grace family and specialty along with the Phoebe and Spade Flower programs and outlet. These families are resonating with our target consumer and will represent foundational elements of our assortment going forward as our pipeline of newness continues to grow. We also recognize that to successfully drive our product strategies, we need to amplify these efforts through more comprehensive brand building initiatives, including holistic marketing campaigns that build engagement with the brand and its products. Turning to Kate Spade's lifestyle offering, which is a differentiator for the brand. During the quarter, we delivered growth in jewelry, driven by millennial and Gen Z recruitment as well as repeat purchasing and gifting. In addition, in June, we opened the brand's first dedicated jewelry location in London, a test which will provide learnings as we explore the opportunity for growth in the category. Second, we powered the omnichannel experience to drive customer engagement. As you know, in fiscal year '24, we launched a katespadeoutlet.com site, replacing the brand's surprise site and providing a better experience for outlet consumers to discover and shop the brand online. The outlet digital channel grew in the quarter with growth in both new and existing customers at higher margins. Third, we remain focused on creating emotional marketing to fuel brand relevance and heat. During the year, we acquired nearly 2.3 million new customers in North America, including nearly 500,000 new customers during the fourth quarter. Accelerating this progress will be key to our success. To this point, we will continue to distort our investment to top- and mid-funnel marketing to support brand building and growth, particularly with younger audiences, where we are seeing unaided awareness improve with Gen Z consumers. Finally, throughout the year, we maintained a commitment to operational excellence, which underpin the brand's meaningful gross margin and profit expansion. This is structural to our business and an integral part of our go-forward strategy. Turning to our strategic initiatives for fiscal year '25, we have a clear imperative for growth. To achieve this, in the year ahead, we will fuel brand heat to drive consideration and accelerate customer acquisition, strengthen the core handbag foundation, grow lifestyle and maximize the omni channel opportunity. Overall, Kate Spade is a unique and purpose-driven brand with distinctive position in the marketplace and significant expansion opportunities. Its mission of bringing joy to consumers around the world is powerful and we continue to have a relentless drive to deliver sustainable profitable growth. Now turning to Stuart Weitzman. Our results for the year were challenged, significantly impacted by external pressures in the brand's two key markets of North America and Greater China. Despite disappointing financial results, we continued to focus on brand-building initiatives to drive awareness, growth and profitability long term. Touching briefly on our focus areas across product and marketing. During the quarter, we expanded our assortment of sophisticated casual styles, highlighted by momentum in flats. Additionally, we continued to extend the brand's reach through gains in new and emerging categories, including men's and handbags. Importantly, new innovation is driving traction at wholesale with the business growing double-digits at POS in North America in Q4. Further, order bookings through the Spring '25 season are up over 30% to last year. This will support an improvement in revenue and profitability trends in the year ahead. Finally, during the quarter, we remained focused on driving brand relevancy through emotional storytelling in keeping with the brand's ethos of inspiring strength and confidence. Overall, we saw an increase in aided awareness, Google search and social engagement in the US for both the quarter and the year, which represent leading indicators of stronger business results in the future. Looking ahead to fiscal year '25, the Stuart Weitzman team is prioritizing fueling brand relevancy with emotional storytelling, growing their icons and key item platforms while further expanding casual and new categories and accelerating growth in wholesale where there's clear traction. Overall, we see long-term potential for the brand with an empowered team focused on delivering improved top- and bottom-line performance. In closing, Tapestry delivered record full year earnings per share, outperforming expectations and once again demonstrating the power of brand-building, customer-centricity and operational excellence. I want to reiterate my gratitude to our incredible teams globally who continue to drive our success. From this position of strength, we have a bold vision for the future. We know that the landscape is rapidly evolving. Consumers have an incredible amount of choice, and they're exercising those choices every day. We also know that the most successful brands are winning on innovation and emotion. And in this environment, we're well positioned to compete and win. Beyond our organic growth opportunities, there is a clear and compelling path to value creation through the acquisition of Capri, leveraging our platform and leadership to bring meaningful benefits to customers, employees, partners and shareholders around the world. Importantly, we also understand that all great visions require great execution. The year ahead will again require agility and adaptability, controlling the factors we can and managing our business responsibly to drive long-term growth. While we are not immune to macroeconomic and other external factors, we can define our own destiny, given our distinctive brands, talented global teams and strong cash flow. These differentiators provide us with strategic and financial flexibility to continue to deliver enhanced value in fiscal year '25 and for years to come. I'll now turn it over to Scott.
Scott Roe: Thanks, Joanne, and good morning, everyone. Looking back at our results for the fiscal year, our commitment to disciplined growth remains on display. We drove an increase in constant-currency revenue, expanded gross margin 250 basis points while investing in future growth drivers for our brands and business and grew EPS at 11% versus last year to a record earnings per share of $4.29. Now moving to the details of the fourth quarter, beginning with revenue trends on a constant-currency basis. Sales were in line with the prior year and above our guidance for the quarter. These results were led by growth internationally on top of strong double-digit gains from the prior year. By region, Europe grew 26% above last year with strength across channels, including higher spend from local consumers and tourists. In Other Asia, revenue rose 12% with notable growth in Malaysia, Australia and Korea. And in Japan, sales grew 2% with an increase in Chinese consumer spend. In Greater China, revenue declined 10% as anticipated, as we lapped 50% growth a year-ago and continued to navigate a more challenging consumer backdrop in the region. Importantly, and despite these headwinds, we did continue to drive growth in digital channels. In North America, sales declined 1% compared to the prior year, amid a challenging consumer backdrop, while both gross and operating margin rose significantly versus last year as we supported long-term brand health. Now touching on revenue by channel for the quarter. Our direct-to-consumer business decreased 2%, amid our overall declines in North America and Greater China, while wholesale grew as expected, increasing 14%. Moving down the P&L, we delivered our strongest fourth quarter gross margin in over 15 years, beating our expectations and expanding 250 basis points versus prior year. This year-over-year expansion was driven by operational outperformance, a benefit of approximately 90 basis points from lower freight expense as well as FX tailwinds. SG&A rose 3%, including the previously disclosed timing shift of $20 million from the third quarter into Q4, which primarily related to marketing. Importantly, we continue to tightly control costs, while making ongoing strategic investments in our brands, people and business platforms. So, taken together, operating margin declined approximately 40 basis points in the quarter. And our fourth quarter EPS of $0.92 exceeded our expectations with roughly half of that beat due to operational upside and half due to a lower tax rate. Now turning to our balance sheet and cash flows. We ended the year with $7.2 billion in cash and investments and total borrowings of $7.2 billion, which reflects the bond financing related to the planned acquisition of Capri of $6.1 billion as well as the early paydown of the company's $450 million term loan in the fiscal fourth quarter. Free cash flow for the year was an inflow of over $1.1 billion, or $1.3 billion excluding deal-related costs. CapEx and implementation costs related to cloud computing for the fiscal year were $144 million. Inventory levels at year-end were 10% below the prior year, reflecting both strong inventory control as well as a shift in receipt timing into our fiscal '25 first quarter. Looking forward, our inventory is well-controlled and current, and we continue to leverage the benefits of our supply chain, navigating the Red Sea disruption with only modest impact. While we expect inventories to be elevated in Q1 due to higher-end transits, the full year is expected to end modestly above prior year levels. Turning to our dividend program. For the fiscal year, we returned $321 million to shareholders through the dividend at an annual rate of $1.40 per share, a 17% increase compared to last year and a dividend payout ratio equal to 39% on a reported basis. Now moving to our guidance for fiscal year '25 on a non-GAAP basis. We've taken a prudent approach to our outlook, balancing the realities of the external environment with the opportunities we see for our business. It's important to note that we view this as our baseline. It does not incorporate any accretion related to the pending acquisition of Capri. For the fiscal year, we expect revenue in the area of $6.7 billion, representing growth compared to the prior year on a reported basis, including approximately 50 basis points of currency pressure. On a constant-currency basis, revenue is expected to increase approximately 1% versus the prior year, consistent with the trend in fiscal year '24. Touching on sales details by region at constant currency. We expect mid-teens growth in Europe and mid-single-digit gains in Other Asia, with North America, Greater China and Japan each planned in the area of prior year. In addition, our outlook assumes operating margin expansion in the area of 50 basis points versus last year. We anticipate gross margin to expand approximately 40 basis points due to operational improvements. Freight is expected to have a negligible impact on gross margin changes in fiscal year '25. On SG&A, we expect expenses to be roughly in line with the prior year, representing slight leverage. Importantly, we're continuing to diligently control costs while investing in our highest impact growth initiatives. For modeling purposes, you can expect corporate expenses to decline versus prior year and drive leverage. Moving to the below the line expectations for the year. Net interest income is expected to be approximately $20 million, which incorporates the fourth quarter paydown of our $450 million term loan and the yield on our growing cash balances with some rate cuts assumed throughout the year. The tax rate is expected to be approximately 19% and our weighted average diluted share count is forecasted to be in the area of 238 million shares. So taken together, we project EPS of $4.45 to $4.50, representing mid-single-digit growth compared to last year. And bridging versus our fiscal 2025 EPS target previously provided at our Investor Day in 2022, our guidance incorporates a negative impact of $0.35 related to the suspension of share repurchase activity due to the proposed acquisition of Capri, as previously outlined, and an estimated currency headwind of approximately $0.20. Finally, before contemplating any deal-related costs, we anticipate free cash flow of approximately $1.1 billion, and we expect CapEx and cloud computing costs to be in the area of $190 million. We expect around two-thirds of the spend to be related to store openings, renovations and relocations with the balance primarily related to our ongoing digital and IT investments. Touching on shaping for the year, we expect constant-currency sales to be flat in the first half of the year, with modest growth planned in the back half of the year as we anniversary easier compares in Greater China. In Q1 specifically, we expect constant-currency sales to be down in the area of 2%, due primarily to lower wholesale shipments in North America in the quarter, which is timing for the year as well as mid to high single-digit decline in Greater China. On a reported basis, we expect revenue to be down approximately 3%, including FX headwinds. As mentioned, we expect gross margin expansion for the year, led by the first half with the most significant improvement planned in Q1, benefiting from operational tailwinds. SG&A dollars are expected to be roughly flat with last year in both the first and second halves of the year, including in Q1. We anticipate leverage planned in the back half on the expected growth in revenue. Net interest income is anticipated for the first half with net zero impact planned for the second half, which assumes rate cuts as discussed. Taken together, we expect balanced EPS growth of mid-single-digits for both the first and second halves with Q1 forecasted to approach $0.95. Now to outline our capital allocation priorities looking forward, which are unchanged. First, we will invest in our brands and businesses to support sustainable growth. Second, we will utilize our strong free cash flow for rapid debt repayment. We're committed to maintaining a solid investment-grade rating. To this end, we're confirming our long-term leverage target of less than 2.5 times on a gross debt to adjusted EBITDA basis and expect to achieve that within two years of the Capri transaction close. And finally, we will return capital to shareholders through our dividend. Importantly, we believe our strong cash flow profile provides us with further opportunity for investment and capital return. Following the achievement of our leverage target, over time, we expect to increase our dividend with the goal of achieving our stated target payout ratio of 35% to 40% and see the opportunity to resume share repurchases in the future. Before closing, I'd like to touch on the acquisition of Capri. Since we announced the deal a year ago, the Capri business has been significantly pressured, reporting disappointing results. Having said that, it remains an excellent strategic fit and value creation opportunity. First, we continue to believe these are iconic brands with long-term growth potential. Second, as time has progressed, we've developed growing conviction in the opportunities for synergies, adapting our integration planning and strategies. In addition, over the course of the year, Tapestry's standalone business has outperformed and we expect this to continue. Therefore, in looking at the full picture, the deal remains compelling despite more near-term headwinds than expected. Importantly, we expect EPS accretion on an adjusted basis in year one, enhanced cash flow, compelling ROIC and are firmly committed to achieving our stated leverage target in 24 months post-close. In closing, we delivered a successful year advancing our strategies and building on our track record of operational excellence to drive double-digit EPS gains and strong free cash flow against a dynamic backdrop. Moving forward, we continue to focus on controlling the controllables, remaining agile and committed to driving healthy, sustainable growth and shareholder returns, leveraging the power of our operating model and talented global teams. I'd now like to open it up for your questions.
Operator: [Operator Instructions] Our first question comes from Bob Drbul of Guggenheim Securities.
Bob Drbul: Hi. Good morning, and congratulations on a strong year at Tapestry. When you look at your results in comparison to Capri's recently, given that underperformance, can you just talk about your commitment to the deal and your thinking? Has it changed around the level of financial returns? I know you spoke to it a bit, Scott, but I was wondering if you guys could expand a little bit more. Thanks.
Scott Roe: Joanne, you're muted.
Operator: And it does appear that Joanne has disconnected from the call.
Scott Roe: Okay. Let me jump in here, Bob, and just take the second part of your question first. On Capri's standalone results, yeah, you're right, the level of underperformance that they have announced is disappointing and surprising, frankly, particularly as it relates to the flow-through to profitability and cash flow. But this is really an execution opportunity. I hope you see that what we've displayed within our business is agility and the ability to get after expenses and right-size and we see this as a real opportunity. But with that, just notably to pick on the biggest brand or to point out the biggest brand, Michael Kors, despite all these declines in top-line and profitability, it's still a business that has an operating income in the high teens. Second, on the combination, as we said in the prepared remarks, it's still a strong strategic fit. But let me be clear, and financially, the metrics, it is accretive to our baseline EPS, offers double-digit ROIC over our planning horizon, and we're firmly committed to hitting our deleverage targets and maintaining investment-grade even despite the results that have been recently printed. And lastly, as you think about our approach to integration, I mean, I guess one advantage of having this time as we've gone through the FTC process is we've had even more time for integration planning, for doing outside analysis. And based on that, our conviction over the synergies continues to increase. We have even more conviction on what this combination means from a synergy standpoint. So that...
Joanne Crevoiserat: Hey, Scott?
Scott Roe: Yeah, go ahead.
Joanne Crevoiserat: I'm sorry about that technical glitch. I am back on the call, so I appreciate it. And to add, Bob, to the points that Scott was making, we do have conviction, but I wanted to touch for a minute on our results because you did mention the contrast in our results versus theirs. So, I think the results we delivered today where I know the results speak to our focus on brand-building, consumer centricity and the excellent execution that our teams are delivering. And I do want to remind you that we delivered the highest gross margin in the company in over 15 years. We delivered double-digit EPS growth and strong free cash flow, and we have momentum at our largest brand, Coach. And as we scan the landscape today, we know that companies and brands that are innovating and executing are winning, and you see that in our results. So that puts us in a position of strength, and it underpins our confidence in the path ahead. And to your question on the acquisition, I know Scott took us through the numbers and how we're thinking about accretion, but this combination remains an excellent strategic fit. And we see compelling long-term value creation opportunity under our ownership. To your point, their standalone results have been surprising and disappointing to us. Our priority is to reinvigorate the business and we believe we're well positioned to do that. These are iconic brands, and to drive growth will bring a stronger focus on the consumer to deliver more innovation and more relevance, and these are areas that we have a proven ability to execute. And as Scott covered the financials, we have a realistic understanding of the financials and confidence in our ability to execute and drive value creation long-term with this transaction.
Bob Drbul: Great. Thank you very much. Good luck with it.
Joanne Crevoiserat: Thank you.
Operator: Our next question is from Ike Boruchow of Wells Fargo.
Ike Boruchow: Hey. Good morning, everyone. So, similar to Bob, just a question around the deal. I guess just, Scott, you kind of alluded to it to Bob's question and on the prepared remarks about synergies. I mean, is it fair to say, we're about a year into this, have you done enough work to believe that there's upside to the synergy target you guys initially guided to should the deal go through? And then, just a quick follow-up would be, what is -- if the deal does not go through, can you just help us understand what is Plan B for you guys in terms of operations, your balance sheet and use of cash? We just kind of love to know how you guys are thinking through the different scenarios. Thank you.
Joanne Crevoiserat: Maybe I'll kick it off, Ike, and then pass it to Scott again. We do have both strategic and financial strength and flexibility at Tapestry. We have multiple paths to value creation. Using your words, Plan A is this transaction and the deal is compelling and a significant value creation opportunity for us as I just outlined. But equally important is we entered this transaction from a position of strength. We have a growing organic business, strong earnings delivery and significant cash flow that allows for us to invest in our business and our brands and return capital. So, maybe I'll pass it to Scott to add any details on our capital allocation priorities.
Scott Roe: Yeah, sure. So, while Plan A is our priority, should we find ourselves in the Plan B scenario, a couple of things I'd just remind you of Ike. So first of all, our free cash flow strength, and if you look over the year just reported and our guidance for this year kind of averaging in that $1.2 billion from free cash flow, think of that as an ongoing baseline for the underlying profitability of the business, a little over $300 million in dividends, $325 million. That gives us more than $800 million of excess cash, which can be deployed against those capital allocation priorities. And should we find ourselves in that situation and given the current valuation, obviously, buybacks are a pretty compelling option for us to consider in that four-lens framework. The other question you asked me was synergies. I'm not prepared to give you a number. I would just reiterate what I said that more than $200 million, we have even more conviction. So, you can assume that means that we're looking at potentially even more synergies from this deal. Upon closing, we'll come back and give you more illumination on what that looks like.
Ike Boruchow: Thanks, guys.
Operator: Our next question is from Matt Boss of JPMorgan.
Matt Boss: Great. Thanks. So, Joanne, could you elaborate on current health of the Coach brand in North America? Maybe any changes in customer behavior in the category that you've seen so far in the first quarter? And just how current trends have shaped your view for 2025 in the region? And then quickly for Scott, on gross margin, I guess, how best to think about AUR opportunity or any change in the promotional landscape that you've embedded in your 2025 plan?
Joanne Crevoiserat: Hey, Matt. I'll touch on the consumer, but then toss it to Todd maybe for a few comments on Coach. We couldn't be more confident and excited about the positioning of Coach, but I won't steal Todd's thunder. As we look at the consumer, we're seeing consistency from what we've seen really in the last few quarters, and that's a consumer that's choiceful. What we see in the market is that innovation and emotion continue to win and that puts heightened importance on brand execution and brand heat, where we're meeting the high bar -- that customers' high bar for innovation, we're winning. We talked about the consumer acquisition in the quarter, 1.6 million customers, in the year, 6.5 million new customers to the brand. And we continue to invest in brand building and innovation to ensure we're cutting through with consumers and winning. Where we're doing that, we're seeing the consumer respond. We see it across channels and across income cohorts. So, a continuation really of what we've been seeing, particularly in North America. But Todd, do you want to touch on Coach?
Todd Kahn: Yeah, thanks. First, in North America, Coach delivered slight growth in the fourth quarter, and it was -- at incredible margins, and it was led by our retail full price business. When you scale out for a second, there are very, very few brands that are at our level of volume that are growing, that deliver 76%-plus gross margin, and just to refresh your recollection, that's 600 basis points above FY '19. And when you get to the reasons why, we can do that because of four overarching attributes. First, expressive luxury is working with our myopic focus on timeless Gen Z. Second, product innovation. Product innovation is just incredible. You see it with Tabby. You may have noticed a recent bag we launched called Brooklyn. Brooklyn is part of the New York family. It is -- has a very different attitude than Tabby, and it's incremental. And around the shop, we like to say no sleep till Brooklyn, New York becomes the next Tabby family. And lastly, the compelling storytelling in our marketing coupled with what really is our underlying strength. We have a team of operators who know how to be commercially successful. And that bodes well for Coach's future, but it also bodes well for the bench we're creating for Tapestry's future.
Scott Roe: And a very brief add to your specific question as it relates to what's driving gross margin, it's really the structural drivers that you saw on display in the year just closed, continue into next year. Yeah, AUR is a part of that. Also AUC as we continue to find efficiencies throughout the supply chain and that's probably an underappreciated part of our gross margin story as we think about structural advantages going forward.
Matt Boss: Great. Best of luck.
Operator: We'll take our next question from Lorraine Hutchinson of Bank of America.
Lorraine Hutchinson: Thank you. I wanted to touch on Kate Spade for a minute. You spoke of a need to amplify the efforts there through holistic marketing campaigns. Does this imply a need for further investment to fuel a turnaround, or do you think you can continue the margin progress as you turn sales?
Joanne Crevoiserat: Good morning, Lorraine. We expect to build on the foundation that we've set over the last few years and our focus is really to accelerate the growth in the top-line. As we said in our prepared remarks, Kate is a unique brand. It has a distinctive positioning in the marketplace. And the opportunities we see to expand the top-line are very clear. We have a clear imperative for growth from here through brand building. And as we talked about, it's not just about bringing the innovation, which is required for -- from consumers today, we have to bring the innovation, but we also have to cut through with holistic marketing and brand building. We are investing in the brand. So, even as we're delivering higher gross margins, operating margins and profit dollars, which we did in fiscal '24, we're doing that while investing in the brand. So, you'll see us continue to invest in the brand, but also continue to expand margins as we work to improve the top-line performance of the brand. And we look forward to welcoming Eva in October.
Lorraine Hutchinson: Thank you.
Operator: Our next question is from Brooke Roach of Goldman Sachs.
Brooke Roach: Good morning, and thank you for taking our question. I was hoping we could touch on China. Can you elaborate on the health of your brands in the China marketplace? What you're seeing in the quarter-to-date period? And perhaps outline the most important drivers of a return to growth within your outlook into the second half?
Joanne Crevoiserat: Well, we are building and continue to drive a healthy business. That's been our focus not only in China, but around the world and I think evidenced in our margin delivery that continues at Tapestry, but like many others, we're seeing macro headwinds impacting the landscape. Despite this, we did grow in fiscal '24. And as we think about the forward view, we are expecting the market to be basically in line in fiscal '25 with where it was in '24. But we -- our long-term view on China and the opportunity that exists in that market has not changed. We're taking a prudent approach in the short term in how we're planning and in our guidance, but we continue to stay close to the consumer. Our teams are moving as that consumer is moving. We're building the business in a very healthy way in the market. And maybe I'll toss it to Todd to give some color around what we're seeing at Coach specifically.
Todd Kahn: Thank you, Joanne, and good morning, Brooke. Building on what Joanne said, we are very, very bullish on the mid- and long-term view on China. And we still see that as our best opportunity by region for meaningful growth. And what I particularly like is where the Coach brand is positioned. As we've seen traditional European luxury soften in China, our relevancy, we're getting -- we're giving that consumer an incredible value at a very fashionable -- with a very fashionable product. I'd say sometimes we don't need China to create 10 million millionaires. We need China to provide us with 10 million people that can buy a $500 bag. That's a materially different space. And we're -- so I see over the coming years, productivity gains, and I also see real opportunities for distribution gains in second- and third-tier cities where again we show up so well. We're very relevant to the consumer. We're very focused on their desire. So, I'm very, very bullish on China over the long term.
Brooke Roach: Great. Thank you so much.
Operator: Our next question is from Michael Binetti of Evercore ISI.
Michael Binetti: Hey, guys. Congrats on a great quarter. Just a quick one on AUR and another question. Just you said flat in the quarter, but it was largely geography mix. Maybe where you're seeing the pressure? How durable you think those pressures are? And if there's a path to AUR being up in totality in '25? And then, on the gross margin, just to unpack it a little bit more, nice increase in fourth quarter. I think you said of the 250 basis points, 90 basis points was freight. Maybe how much of it was FX? And then, what goes away as we roll into fourth quarter, what comes back? And you said the first quarter will be -- will expand the most from I think, Scott, you said operational tailwinds. Maybe just double-click on that and where you see the opportunity from here for the Coach brand multi-year, given the record levels?
Joanne Crevoiserat: Well, I'll start at a high level, but briefly. What supports AUR, excuse me, is the innovation and the investments we're making in brand building. And we see that today and where we're delivering that innovation, we're winning and our brand building efforts are paying off. We're acquiring new customers and younger customers importantly. And those customers are coming into our brands and at higher AUR and strong margins. So, those investments that we're making are paying off. The work that we do is structural to our business and I'm staying close to the consumer leveraging data, but it's that balance of magic and logic that we continue to bring. That's structural. And that's what gives us confidence in the future for both gross margin and AUR. But Todd, I don't know if you want to make some comments about Coach specifically.
Todd Kahn: Yeah. You touched on so many important things, but I understand when you look at it and we love celebrating that we had the highest sales in our history and exceeded $5 billion. And 11 years ago was the last time we exceeded $5 billion or just touched on it. We're doing it in such a brand healthy way today. You see it in our gross margin. You see it in our commitment under our, what we call, Coach-genomics to put our -- that gross margin to work, reducing our non-marketing SG&A and putting it in marketing to do exactly what Joanne just said, bring in a relevant younger new customer who experiences the brand at -- with a lot of brand heat and a lot of elevation. So, I see our path forward to be really robust. We're going to do it in a careful, measured way. We're not driving sales for sales sake. We're going to do it with great gross margin and with a real view to continue to sustain long-term growth.
Scott Roe: And Michael, I think you were asking me in the four quarter, what was FX? It was about 60 bps or so favorable. So, 100 basis points of operational growth in the quarter, and that was really what drove our outperformance versus our expectation. So, those structural drivers are largely in place. As we look at next year, we guided to 40 bps for the full year. We expect to see a little bit stronger in the first half. We got a little bit of freight as a positive in the first half that turns a bit negative in the second half and similar on the FX. So, the important thing to me is the operational benefits that we've seen in gross margin continue and that's really the AUR, AUC that I referenced earlier on an ongoing basis.
Michael Binetti: Thanks a lot, guys.
Operator: And our next question is from Rick Patel of Raymond James.
Rick Patel: Again, congrats on the great progress. For Coach, can you unpack the trends that you're seeing at full price versus outlet? It sounds like you're selling -- you're doing a really good job selling full price product at outlet. So, I'm curious how we should think about the opportunity to lean into that versus what might be a more choiceful consumer shop in that channel.
Todd Kahn: Sure. Again, we're seeing progress in all our channels. So, when -- and one of the things we're doing, as you noted from the -- from what we're doing with the Tabby bag in outlet is we're blurring the line because the consumer is channel agnostic. They don't see outlet and retail the way we in the industry have historically seen it. When we spend 9% on marketing, a lot of it on upper funnel, particularly focused on families like Tabby, that consumer is walking into our outlet stores and they want the Tabby back. That's their -- that might be their best store in that community that might be -- they maybe a tourist traveling and that's the only visit they make for shopping and they want Tabby. So, we want to meet them where they're at, and of course, we're selling it at full price. So, we're excited by this opportunity. We're doing with Tabby now. We're going to extend it to a number of other brands. In fact, the Brooklyn bag that I mentioned, next month, you'll see it in select outlets as well. So, I think the long-term opportunities of blurring the line providing great value across all our entire fleet. And by the way, we're not just doing this in North America. We've been doing this in China for a while very successfully. So, I see this as the next big unlock for us. And in the coming quarters, we'll talk more and more about it as we get the momentum behind it.
Rick Patel: Thanks very much.
Todd Kahn: You're welcome.
Operator: Our next question is from Aneesha Sherman of Bernstein.
Aneesha Sherman: You mentioned your capital allocation priorities, and the first one being brand investment. So, as you think about the portfolio of six brands that you hope to have next year, can you talk a little bit about which brands would be priorities for investment, and if they're relevant, geographies, so which brands and which geographies are priorities for brand investment? Thank you.
Joanne Crevoiserat: Yeah, we -- I appreciate the question. We evaluate our investment with any capital allocation decision we make with a lot of rigor, understanding the value-creation opportunities we see. And so, you see that in how we've been managing our business at Tapestry, and we would expect to continue to invest in our brands. Our focus is ensuring that we're driving investment behind the brands in marketing. We're being very rigorous on any non-brand-building SG&A. We have and -- we have, I think, competitive advantage through our technology and digital capabilities and we continue to foster those, so that we can meet our customer where they are. And that's globally. Our data and analytics capabilities have been recently rolled out around the world in different regions, so that we have access to the data tools as well. So, those are the places that we invest. And increasingly, we see an opportunity to invest more in our store fleet, which I think you touched on a bit in our capital allocation with two-thirds of the capital we expect to invest in the next fiscal year in brick-and-mortar in expansion and relocation and remodel of our stores. So, we have, as I said, a rigorous process and an understanding of where we see and expect returns from those investments. And geographically, we are -- we definitely see opportunity in Asia, both in China over time, and we're staying close to the consumer there and making sure we understand where our brands need to show up in that region. But also Other Asia and Japan and Korea, like that market is growing in penetration and strong growth there. And we've had success in Europe, as you've seen by our results. So that's not to leave out North America. We continue to find great opportunities to expand the brand. So, I would say that we're investing in brand building first and in distribution, and we'll continue to monitor and deliver, put our money behind the investments that we see driving the best returns for our brands and our business.
Aneesha Sherman: Thank you.
Operator: Our next question is from Mark Altschwager of Baird.
Mark Altschwager: Good morning. Thank you for taking my questions. First, just one more on the deal, for Scott. It sounds like expectations for year one accretion have moderated a bit in light of the recent performance at Capri. Could you expand upon some of your underlying assumptions today for year one, the -- on synergized EBITDA, free cash flow and path to the target leverage ratios? And then separately, just regarding the guidance for fiscal '25, guiding to about 50 bps of EBIT margin expansion, it sounds like some leverage in corporate expense embedded in that. As we think about the balance there, any further color as we think about the opportunity at Coach versus Kate? Obviously, Coach, the largest business. So, Q4, we actually saw some margin compression at Coach, first time I think in about seven quarters, while the expansion at Kate was rather significant. So just wondering if there's anything to take away from that as we build-out our model for '25. Thank you.
Scott Roe: Yeah. Let me hit the last part of that real quick because it is a quick one, right? So remember, we had some timing between Q3 and Q4 on expenses, and we said it was related primarily to marketing and it was primarily at Coach. So, there's no news there in Q4 margin. We see a continued path on the -- what I would say, our exceptional margin performance at Coach. And that is not an indication of a trend. It's really just timing between the quarters. And we expect margins at Coach to remain at their exceptional levels and see opportunities to continue to invest and grow gross margins. So, as it relates to the Capri business, you're not wrong. Obviously, as I said and Joanne said in our prepared remarks, we're disappointed and a bit surprised at the flow-through, which all that means is your starting point is a little different and we see execution opportunities that frankly, we know how to get after and that made us reevaluate what that first 12 months looks like. That doesn't really change the destination. And hopefully, you heard that in our collective comments. We still see a very compelling value-creation opportunity. But as we run various scenarios based on where we see the starting point on the current results, we are still confident in accretion, but the exact level of that accretion will be back on closing the deal and give you more granularity there. One other thing too, as it relates to the deal, I said it earlier, but I just want to reiterate because it's important. Don't forget the underlying Tapestry business, which is running a bit ahead of our expectations in profit and cash flow, and also my comments around our increasing conviction around the synergies. So, you got to look at this holistically on the combined entity as you think about the long-term path and the returns. And that collectively is what gave the confidence on the earlier reiteration of the metrics that I laid out in the prepared remarks.
Mark Altschwager: Thank you.
Operator: And our next question is from Oliver Chen of TD Cowen.
Oliver Chen: Hi, thank you. I'm curious more broadly on the platform of Tapestry. Kate and Stuart have been works in progress. Just what gives you conviction that, that Kors will work, and any analogies from your experiences improving other brands relative to what you're going to do? And second, on Coach, what's happening with pricing with respect to good, better, best and like-for-like? It sounds like Tabby is incremental in terms of adding that to the outlet assortment? And any thoughts on the health and pricing leverage in China relative to the US? They're both pretty dynamic markets with some macro headwinds as well. Thank you.
Joanne Crevoiserat: So, I'll start with Michael Kors. And what we're seeing in our business and what our platform has been delivering is delivering brand building. And you can see that with Coach and it's a clear example. We have important learnings as we've built the momentum in Coach. Brands win, as you know, Oliver, on emotion and innovation. And as it relates to Michael Kors, we do a lot of outside-in work, including we're doing deep consumer research. And as we've talked to consumers, we've learned that they see Michael Kors as an iconic and distinctive brand. There is a lot of love among consumers for the brand. And what we hear is that the expression of that brand has lost relevance for today's consumer. Under our ownership, we believe we can reinvigorate that through the brand-building efforts and leveraging our platform. It starts with a clear understanding of the target consumer. It's about innovating product and marketing and accelerating growth through direct channels. These are all leveraging the benefits of the Tapestry platform from our consumer insights capabilities to our supply chain to our tech stack. And as we said, we're developing integration process -- developing the integration plans and we have an increasing conviction in the synergy estimates. So, we see a lot of value to unlock and definitely see the opportunity to leverage Tapestry's capabilities to bring that to bear. On the Coach...
Todd Kahn: As it relates to...
Joanne Crevoiserat: Yeah, go ahead, Todd.
Todd Kahn: Sorry. No, thanks. Sorry. Hi, Oliver. In terms of Coach, good-better-best, I think what you've seen us do in the last four years has really raised the floor for us. And we like our positioning. We like the sweet spot of $200 to $500 bags, that range. We have offerings across the spectrum. We have bags for $1,000 and we have opening price point bags. So again, we play in a wide, wide range. We know the consumer has hundreds of choices. We have to win with innovation, which we're doing. You see it with the Tabby extensions. And again, I go back to the New York family. We just launched this Brooklyn bag, and it's incredible. We haven't even started our campaign yet and every week, we're being -- we see our sell-out in different colorways. So, it gives me a lot of good feeling about where we're playing. As it is -- as you reflected China, again, we offer incredible value in China as compared to traditional European luxury. So, I like our brand positioning. We're going to measure -- be measured on AUR growth, particularly in China. We're going to continue to watch the market. And we want to go after and really be the most relevant brand we can be in that market. So, I'm excited by our future and I'm excited by how well we're competing.
Operator: Thank you.
Christina Colone: So, I think that is our last question. And I'll turn it over to Joanne for some closing remarks.
Joanne Crevoiserat: Thanks, Christina, and thank you all for joining us and for your continued interest in our story. As we shared today, we delivered a successful year and are operating from a position of strength. We enter our new fiscal year with a bias for action and growth and will remain maniacally focused on bringing innovation, emotion and execution required to win with consumers. Importantly, our fiscal '25 guidance is both prudent and achievable, and is only a baseline, with additional strategic financial flexibility to enhance our growth and drive significant value for all stakeholders in the months and years to come. Thanks again, and have a great day.
Operator: This concludes Tapestry's earnings conference call. We thank you for your participation.